Runar Sivertsen: Good morning, everybody and welcome to this presentation of SalMar’s Fourth Quarter Results. My name is Runar Sivertsen and I’m the Director of Strategic Projects here in SalMar. Unfortunately, our CEO, Mr. Gustav Witzoe, cannot be at this presentation due to a bad cold. So I will be holding the presentation in his place. We have once again decided to host an online presentation, but we are looking forward to meeting you all in person, something we are busy preparing to do also at our Capital Markets Day on the 28th and 29th of June this year. I will come back to that a little later in the presentation. First, I would like to share a few words on our current NTS bid, then share some highlights from 2021 and the main takeaways from the fourth quarter. Before, our CFO, Trine, will walk you through the details. At the end of today’s presentation, I will be focusing on strategic projects that will play a key role in 2022, including an update on SalMar Aker Ocean, wherefore finishing off with the outlook. SalMar will, as communicated, make a voluntary offer to purchase all outstanding shares in NTS for a price of NOK120 per share. This offer falls naturally in line with the strategy SalMar has had since it started off with a single salmon production license back in 1991. Our ambition has been to develop the world’s best and most cost-effective aquaculture company with the aim of bringing healthy seafood to the entire world. And that is what we have, to a large extent, succeeded in doing, partly through our own efforts, so-called organic growth, but also through the acquisition of production licenses and mergers with other companies. We are now going all in to succeed in our bid to acquire NTS. If we are successful, it will be the largest single expansion in the company’s history. SalMar and NTS have several overlapping industrial activities in Central Norway, in Northern Norway, the West Fjords of Iceland and offshore. In addition, the two companies are a good fit culturally. All in all, this represents a fantastic starting point for building something even stronger together, while also realizing significant synergies in all areas of the value chain. And now a closer look at the actual offer. SalMar will make a voluntary offer to buy all outstanding shares in NTS for NOK120 per share, 20% in the form of cash consideration and 80% in the form of SalMar shares. Shareholders representing 50.1% of the outstanding shares have already accepted this offer in advance. The offer document will be distributed to the NTS shareholders as soon as possible after the required regulatory approval has been granted by the Oslo Stock Exchange, which is expected no later than 31st of March this year. For more information and additional details concerning the offer, I refer you to the stock market notice dated 14th of February this year. An Extraordinary General Meeting of Shareholders in SalMar will be held to authorize the Board to issue the necessary number of shares. The numbers of share issues – issued will depend on the level of acceptance, which is currently not known. As you have noticed, the start of 2022 has been very eventful and exciting. But SalMar was pretty active in 2021, too. Indeed, 2021 was an eventual year for SalMar, where we continue to build on our 30-year history of sustainable growth. In SalMar, our growth rests on two fundamental operating principles: one, a small footprint as possible on the public goods we make use of; and two, as much local value creation with regard to the salmon we produce. Salmon produced in the best waters and enjoying optimal biological conditions and locally harvested and processed, this is a fantastic starting point for sustainable and future-oriented food production. We are, therefore, investing billions of kroner in our value chains to secure further growth always on the salmon’s terms. As for smolt, we have two major construction projects underway, in Northern Norway and in Central Norway. The facilities in Senja and Tjuin represents a combined investment of NOK2 billion and will increase our capacity by 14 million smolt. We have also put our first sea-going closed containment production unit into operation. In addition, we have increased our sea farm capacity through investment in Nekton Havbruk and Refsnes Laks. This paves the way for further volume growth in some of the best areas for salmon production in Norway. Local harvesting and processing are important for us. With the start-up of Vikenco’s new processing plant in the second quarter and InnovaNor in the fourth quarter, we are ensuring that we can, to an even greater extent, offer a right product to the right consumer at the same time as we secure increased local value creation. Vikenco has a capacity of approximately 40,000 tons per year, both at its harvesting and secondary processing facilities. InnovaNor has an initial harvesting capacity of 75,000 tons per shift per year and a secondary processing capacity of 30,000 tons per shift per year. It also has a significant potential to increase that capacity on both the harvesting and secondary processing site within the existing building facilities. We have also taken some important steps on the financing side, which reflects our ambition to secure further sustainable growth. We have now – we have green financing in place with clear KPIs. In total, we have signed new agreements with NOK7.5 billion by refinancing existing growing facilities and issuing a new green bond. In Iceland, we have also taken important steps through Icelandic Salmon. We have strengthened our operations and reduced costs. We have reinforced our foundations for further growth through the acquisition of 2 hatcheries and have launched a new brand in the market, which will help to boost the position of Icelandic Salmon. When we move to Scotland, we have taken major steps through the acquisition of Grieg Hjaltland, thereby strengthening our presence in the region. This will pave the way for more optimal and cost-effective production. For 2022, we estimate that the transaction will increase the volume harvested by an estimated 30,000 – 13,000 tons to a total of 46,000 tons. In addition, two of the countries for most companies in their respective fields, SalMar and Aker, have joined forces to establish SalMar Aker Ocean. This company will find fish in coastal areas exposed to harsh weather conditions, are far out to see offshore and will continue SalMar’s long-standing engagement in this field. SalMar and Aker had big plans for SalMar Aker Ocean. By the end of 2030, the ambition is to produce 150,000 tons of salmon per year in fantastic conditions on the SalMar’s terms. For all these reasons, you can safely say that 2021 has overall been a very eventful year for SalMar. We have taken steps to strengthen our business in all areas of the value chain and in all regions. SalMar’s results for 2021 also shows clear improvement in important areas. In other areas, however, we did not see the same trend. We harvested a record volume of fish in Norway, this is due to good husbandry, excellent use of increased production capacity and the previously mentioned investments in Nekton and Refsnes Laks. In total, the harvest rose by 20,000 tons compared to the year before. At the same time, the Fish Farming segment maintained their strong margins with particularly favorable cost development through the year in Northern Norway. The Sales and Processing segment has never previously processed such a large proportion of our volume locally in Norway as we did in 2021. This is one of the most important factors in making our industry even more sustainable since this contribute to our greater local value creation and considerably reduces our transport-related greenhouse gas emissions. We processed in-house, so 44.7% of our local volumes in 2021 as a whole. Through the expansion of Vikenco, under advanced harvesting and processing facility that is InnovaNor in Senja, Northern Norway, some are demonstrated yet again that we have faith in harvesting and secondary processing on the Norwegian coast. However, Sales and Processing margins were lower in 2021 than in 2020 due to a lower price achievement on the fish sold. This was driven largely by the price set for our fixed price contracts. Simply put, we underestimated how strong the salmon market would be in 2021. We are obviously not pleased that we ended up in this position, but at the same time, it shows us the strong position salmon holds in the world’s markets. This, again, makes us confident that demand will remain strong in the times ahead. Also, our Icelandic operations performed much better than the year before. After what was biologically a challenging year in 2020, 2021 was significantly better. The volumes harvested remained the same year-over-year at approximately 11,000 tons. However, we are forecasting on the expected volume of 16,000 tons in 2022. The margin per kilo in 2021 was NOK10.91 higher than in 2020. This is a result of better biological control, combined with good marketing of Icelandic Salmon. All in all, we are pleased with the results across the value chain, but there is still room for improvement in all our segments and all our regions. As we say in SalMar, everything we do today will be done better than yesterday. So now we move over to our review of the fourth quarter. We harvested a record high volume, but extraordinary costs in Central Norway, combined with somewhat weak price achievement, means that we are presenting our results that we are not 100% satisfied with. In Norway, we harvested a total of 52,200 tons in the quarter and made an operational EBIT of NOK853 million. That gave us a margin per kilo of NOK16.36. Including Icelandic Salmon, we harvested 56,400 tons in the quarter and made an operational EBIT of NOK890 million. This again translates into a margin per kilo of NOK15.78. Fish Farming Northern Norway continued its solid performance with stable costs driven by a strong biological performance and also a strong operational performance. The results posting by Fish Farming Central Norway was negatively impacted in the quarter by the harvesting of the fish with ISA, which resulted in a lower average rate and higher cost per kilo. If we exclude the costs relating to the ISA, the Central Norway segment would have had the same cost level as in the third quarter of 2021. The picture of the Sales and Processing segments was mixed in the quarter. On the industrial side, we experienced a high level of activity on large volumes through our harvesting and processing facilities. It is impressive to see the hard work that was put into handling this significant volume. Unfortunately, the overall result of Sales and Processing segment were affected by weak price achievement in the quarter, partly due to the impact of fixed price contracts and partly due to the previously mentioned ISA consequences. Overall, therefore, the segment posted somewhat disappointing results. Operations in Iceland achieved better margins due to improved price achievement and stable costs. A total of 4,300 tons were harvested to a margin of NOK8.72 per kilo. We expect the volume harvested in all our regions to be higher in 2022. We are forecasting a total of 175,000 tons for Norway, 16,000 tons in Iceland and 46,000 tons in Scotland. Overall, this represents an increase of 8% on 2021. For the 2021 financial year, the Board of Directors is proposing a dividend of NOK20 per share, I am sorry.  I will now hand the word over to our CFO, Trine, who will take you through the details of our operational and financial performance. So Trine, the word is yours.
Trine Romuld: Thank you, Runar. As usual, I will start with the segment, Farming Central Norway. We had a record high harvest volume with 34,600 tons in the quarter, operational EBIT of NOK615 million, which gives NOK17.76 per kilo. We have increased costs quarter-to-quarter due to handling of biological challenges, but also to safeguard fish welfare. And I will give some more comments to explain in more details. In the quarter, we have harvested out fish from site with ISA with low average rate, which has impacted results negatively, both due to higher costs, but also due to lower price achievement. In addition, in order to make sure we are 100% prepared when it comes to sea lice before the winter months, we have chosen to use more external treatment capacity in addition to testing and using new treatment methods. This has impacted the cost in the quarter. But we are very pleased how we handle the situation in a good manner, giving us a good status, our biomass as of year-end. Without those two effects, the cost level would have been at the same level as we had for quarter three. Autumn 2020 has accounted for most of the volume in the period, 70%. This generation has had a stable biological development. In addition, we finished harvesting out of spring 2020, also with a stable development. So we have a good status of the biomass and more biomass in the sea compared to last year. In quarter 1 2022, we expect significantly lower volume compared to quarter four due to seasonality. Cost level is expected to be slightly lower where we will continue harvesting out from autumn 2020 and start harvesting of spring 2021. In 2022, we expect increased utilization of production capacity and expect a volume of 117,000 tons. And then over to the Farming Northern Norway. In Northern Norway, we harvested 17,500 tons in the quarter with an operational EBIT of NOK429 million, which gives EBIT per kilo of NOK24.48. This segment delivers a result, which we are very pleased with, and continues the solid trend with low cost level. This is due to strong biological performance and solid operation, which has given strong growth, low mortality, good utilization of production capacity and thus also low cost level. However, the cost level is still affected by high harvesting and well boat cost, where we have used seven different harvesting plants in the period. In comparison, this cost is around NOK1 lower in Central Norway. In 2022, we expect a gradual improvement of this when InnovaNor will be up and running. Most of the volume was harvested in October and November, the period of the quarter with lower spot prices. This has also affected the price achievement in the period. Autumn 2020 has accounted for 70% – 75% of the volume in the period with strong biological performance, and we have finished harvesting out the spring 2020 generation, which has delivered a solid performance. In this quarter, quarter one, we expect lower volume and cost at the same level as quarter four, where we continue to harvest out from the autumn 2020 generation. We have a good status of the biomass and sea. In 2022, we expect still good utilization of our production capacity, and we expect a volume of 58,000 tons. This is somewhat lower than in 2021, but we expect further improvement in utilization of production capacity in 2023 due to improved site and sound structure and small destocking plans. Sales industry. Sales industry delivers a negative operational EBIT of NOK106 million. As Runar already has mentioned, we are very satisfied with how our employees have handled the large volumes we have had through our harvesting and processing plant, where we had weeks with record high volumes. But the result for a period is affected by weak price achievements. The contract share was 26% in the quarter and had a negative contribution due to the higher spot prices in the quarter. In addition, we have had a weaker margin on spot compared to previous quarters, where we also have harvested out fish from ISA site, that has also contributed to weak margins. Looking forward, we expect lower volume through our harvesting and processing plants in this quarter due to natural seasonal variation in our harvesting volume. And as we said in quarter three, InnovaNor is in operation. And in 2022, we will gradually ramp up both harvesting and value-added processing activity at the facility. Naturally, we will have some costs related to InnovaNor, which will be included in the results from quarter one. When InnovaNor is in full operation, we expect synergies and improved performance across our value chain, which gives a strong foundation for further sustainable growth in Northern Norway and improve results. Contract share in quarter one expected to be at 35%. And for 2022, in total, we expect around 30%. Price level on our contracts is at a higher level in 2022 compared to 2021. But with the current spot prices, we are experiencing these days, we expect negative contribution from our contracts portfolio in quarter one. Icelandic Salmon. On Iceland, we harvested 4,300 tons in the quarter with an operational EBIT of NOK37 million, which gives EBIT per kilo at NOK8.72. In the quarter, we finished harvesting out of the 2019 generation with a stable cost development. In addition, we started harvesting out from the 2020 generation also with good biological performance. Both generation has shown significantly improved performance compared to previous generations. At the same time, we already see positive effect of improved price achievement in the market due to launch our new brand for Icelandic Salmon, reduced freight costs due to increased share of both transportation, in particular, to the East Coast of U.S. And we also have started sales of value-added products, such as fillet. Combined, these SKUs saw significantly improved results, both in quarter four, but also as 2021 for the full year compared to 2020. In this quarter, quarter one, 2022, we expect lower and stable cost development, where we will continue harvesting out from 2020 generation. The status of the biomass is good. Guiding for 2022 is 16,000 tons, a significant increase from 2021 where most of the volume will be in the second half of the year. Scottish Sea Farms. Scottish Sea Farms harvested 4,900 tons in the quarter with an operational EBIT negative NOK29 million and thus EBIT per kilo at NOK5.84 negative. As you probably already have seen, the acquisition of Grieg Hjaltland was approved and completed in December. Our experience so far is that there is a good status of both the biomass and the assets. And our team in Scotland are now integrating the company into Scottish Sea Farms in order to realize the synergies we see in the combination of these two companies. Results in the quarter is affected by one-off costs related to the acquisition that amounts to NOK6.7 per kilo. Without these costs, Scottish Sea Farm delivers an EBIT margin of positive NOK0.8 per kilo. Biological challenges due to gill health has affected results negatively in the quarter. We have harvested fish with low average weight, which affects both the cost level and the price achievement. In addition, this has also led to higher mortality than normal, resulting in higher cost. We have currently a good status of the biomass. Because of the acquisition, the company expects significant increase in harvest volume in 2022 and expects a volume of 46,000 tons. Moving over to the financial update. I will start with the comparison from previous quarter. First, Norway, which has had an increase in EBIT per kilo of NOK1.41. As already commented, the price achievement is somewhat lower than the increase in spot price in the period. And together with a slightly increased cost in the value chain in Central Norway, this explains the change from previous quarter. For the group, including Icelandic Salmon, EBIT per kilo has reduced with NOK1.43. Besides from effects already mentioned increased margin from Iceland explains this increase. Group profit and loss. Some comments to the P&L for 2021 comparing to 2020. Revenue has increased following higher volume and higher spot prices. Operational EBIT, 3% lower due to slightly higher cost. Production tax included from 2021 at NOK0.40 per kilo in Norway. And together with resource tax in Iceland, this totals to NOK72 million for the entire year. Fair value adjustment positive due to higher volume and higher forward prices in biomass calculation. Income from associated increased due to improved results from Scottish Sea Farm due to positive fair value adjustment. Net interest costs of NOK169 million, an increase from 2020 driven by a successful placement of green bond in quarter two 2021. Other financial costs lower due to less currency fluctuation. Group EBIT per kilo reduced with NOK2.55 per kilo compared to 2020 where the reduction is driven by weaker price achievement despite an increase in spot price and slightly higher cost. And also for information, SalMar Aker Ocean will be reported as a separate segment in financial reporting starting from quarter one 2022. Over to the balance sheet. Here, we compare with end of quarter three. Investments in the value chain progressing according to plan. We have a higher standing biomass, both year-on-year, but also comparing to last quarter. Net interest in billing debt, including leasing, liabilities decreased with NOK400 million during the quarter. In total, still a solid financial position with equity ratio at 55.1% and EBIT, including leasing versus EBITDA, at 1.48. And then I will give a short explanation of the movement of net interesting bearing debt compared to end of quarter three. We started the quarter with net interest in bearing debt at NOK5.9 billion. EBITDA for the period was NOK1.1 billion. We have paid taxes in the quarter of NOK514 million. During the quarter, we had net investments across the value chain of NOK854 million. Of this, NOK306 million relates to the equity contribution to finance the acquisition of Grieg Hjaltland. And we had the largest investments, our expansion of our small capacity through construction of Senja 2 and Tjuin together with maintenance and capacity investments in our value chain. In the quarter, the first installment of the capital increased in SalMar Aker Ocean was paid when Aker came in as an owner in the company that amounts to NOK639 million in the quarter. We will then end the quarter with a net interest in bearing debt at NOK5.5 billion, which is a decrease of NOK400 million compared to end of quarter three. At the end of the quarter, we had NOK4.4 billion in available facilities, which gives us strong financial flexibility to pursue our strategic investment across the entire value chain. Dividend, the results in 2021 shows that SalMar has continued to deliver strong results, both biological and operationally, while at the same time, maintaining a solid financial position. For the Board of SalMar, it’s important that the company has a solid financial position which the figures from quarter four reflects. In addition, both administration and the Board wants to give more than 13,000 shareholders, a competitive return by payment of dividend and increase our share price. In 2021, the share price increased with around 21%. The Board, therefore, proposed a cash dividend of NOK20 per share for the financial year 2021, which is 88% of earnings per share. With this, we have come to an end of the operational and financial update. As you probably have seen, this will be my last quarterly presentation for SalMar as I have chosen to join SalMar Aker Ocean team with ambition to do my very best, together with the rest of the team, to deliver on the ambition of creating a world-leading offshore farming company. So, thank you and goodbye. And hopefully, I will meet many of you also in the future. With this, I will give the word back to you, Runar.
Runar Sivertsen: Thank you, Trine. When it comes to new opportunities in all the segments, regions and countries in which we operate, SalMar aims to be in the forefront. Everything we do must be on the SalMar’s terms, and this colors how we think in every part of our value chain, from roe to plate. We have plans for considerable growth in both traditional and offshore aquaculture. If we are to succeed in this, we are completely reliant on the 1,800 people employed at SalMar. SalMar and the result SalMar has achieved over time would never have been possible without skilled and dedicated employees and good business partners. I will, therefore, on behalf of SalMar, like to take this opportunity to thank all the SalMarions, business partners and supporters, who have helped to make this possible. A huge communal effort was made in 2021, and we are very proud of what we have achieved. The hard work, passion and corporate culture we have at SalMar is unique and has been the engine that has brought us where we are today. It has given us the ability to challenge the status quo, see opportunities and have the ability to seize them. This effort will continue with full force going forward. For 2022, it means a number of important investments, which will create the foundations for further sustainable growth. In 2022, we will undertake project that strengthens our operations along the entire value chain and in all regions. Taking into consideration all the plans already approved, we will invest around NOK2.1 billion this year. In Norway, we expect to invest NOK1.7 billion, mostly on the capacity increase, increasing investment in the various parts of the value chain, investments in the hatchery capacity in Central Northern Norway accounts for the biggest part of this. At the same time, we will also make maintenance and growth investments in other parts of our value chain. In the Fish Farming segment, we will put new sites into operations and optimize our production so that we can exploit our MAB capacity even better. We know that the traffic light auction is being planned for 2022. We will consider positive reception in this within our commercially acceptable terms. In Iceland, we expect to invest around NOK0.2 billion, most of which will go to – on further growth, particularly in terms of our sea farms. The aim is to better exploit the potential of the licenses that we have in Iceland, and thereby improve both biological and financial performance. At the same time, we expect to invest approximately NOK0.2 billion in the SalMar Aker Ocean in 2022. The bulk of this will go on the upgrading Ocean Farm 1 and the completion of the design spec for Ocean Farm 2 and the fish farm – Smart Fish Farm concept. When we stood on stage in August and announced our partnership with Aker and the establishment of SalMar Aker Ocean, we said that we expected the deal to be finalized in the first quarter of 2022. As you know, we closed back on 15th of November, last year. The rapid formalization of SalMar Aker Ocean clearly shows the commitment and force that both Aker and SalMar are channeling into this venture. SalMar Aker Ocean is and is intended to be the very spearhead of the development of offshore fish farming. In SalMar Aker Ocean, we have brought together complementary competencies that is world leading in its respective fields. Aquaculture, biology, sustainability, technology and offshore operations are all areas of expertise that is crucial to have we have to succeed in realizing the full potential offered by the sea. Roy Reite was appointed CEO of the company on February 1st, this year. Roy has valuable international experience from industrial operations and the Norwegian financial sector and has in-depth knowledge of coastal culture. This provides insights that are important and necessary for SalMar Aker Ocean to realize its ambitions. In the first instance, the company will give priority to upgrading Ocean Farm 1 and completing the design for Ocean Farm 2 and the Smart Fish Farm. This to realize and accelerate further sustainable growth both in exposed coastal waters and offshore. Everyone who is concerned about the world’s food supply and Norway’s position as a leading seafood nation have therefore looked forward toward the government’s proposal for a regulatory framework for offshore aquaculture. The Norwegian government will release a public hearing note on this matter on the 2nd of February, this year. The sector must now be given sufficient time to examine the document in depth before it submits a thorough response. The design and development of the Smart Fish Farm facility, which is intended for operations in the open ocean, continues as planned. The Directors of Fisheries is currently considering a site application, which we hope will result in a decision in the near future. As we round off this quarterly review, let us look forward to what lies ahead. As previously mentioned, we will continue to focus on the things we can influence and change. We aim to do whatever we can to ensure our employees thrive and perform to their best ability. We will also be at the forefront with regard of husbandry and good fish welfare so that our salmon have the conditions they need to grow and thrive. A good financial result comes from good biological performance always on the SalMar’s terms. This is why we are continuing with undiminished strength to make strategic investments to support sustainable growth on land, along the coast and out of sea – out at the sea, offshore. Through the establishment of SalMar Aker Ocean, we are now ready to realize the potential that lies in the ocean and embark on the process of building a globally leading company for offshore aquaculture. We expect to harvest a lower volume in the first quarter of 2022 as a result of natural sea salt variations. At the same time, we are expecting a slightly lower level of costs. Fixed price contracts will account for 35% of the volumes sold in the first quarter of 2022 and around 30% in the year as a whole as it stands right now. The contracts for 2022 have a higher price point than has been the case in the recent quarters. As we have mentioned before, we expect a higher overall volume in 2022, a total of 214,000 tons, including our relative shares of the volumes in Scotland. As previously mentioned, this represents a rise of 8% year-on-year. At SalMar, we are optimistic about the future. And the recent period has shown us how strong the salmon market is. We expect only a moderate-to-low growth on the supply side in 2022. Our job will be to take the steps necessary to strengthen us today and make us even better tomorrow. The various investments and projects that we are – that we have discussed today are clear examples of justice. We will continue to focus on the solution, not the problem. So before we go in for a landing, there is something extra that we are really looking forward to. [Video Presentation] As you saw from the film, we are delighted to invite you to Northern Norway for our Capital Markets Day event from the 28th to the 29th of June, this year. Here, you will have the chance to see our entire value chain from roe to plate. You will visit the newly upgraded hatchery in Senja, see our best sea farms in the Northern Norway and InnovaNor, our flagship for harvesting and secondary processing in Northern Norway. In addition, we will give you insights into our strategic ambitions for the entire group going forward. We hope many of you will be tempted to take a trip to Tromsø and the outstanding beauty of Senja at the end of June this year. Before we completely close today’s session, I would like to, on behalf of SalMar, say a huge thank you to Trine for her efforts during her term as company’s CFO. Although Trine’s time as CFO in SalMar ASA has not quite come to an end, this will be her last quarterly presentation before she transferred to SalMar Aker Ocean as the CFO there. Trine and her team have done a fantastic job for SalMar. Unfortunately, Trine is not leaving her SalMar family, but has elected to switch to a new and important role as CFO of SalMar Aker Ocean. There, she will help to create a new Norwegian industrial success story with international ambitions based on strong faith in and need for the sustainable production of healthy seafood. So Trine, on the behalf of SalMar, thank you so much for your contribution to SalMar. And I wish you, again, on behalf of SalMar, every success when you, in a few weeks, transfer to SalMar Aker Ocean. And with that, we have come to the end of today’s presentation. Thank you so much for your attention. The next quarterly presentation will be on the 12th of May. Until then, stay healthy and eat a lot of delicious salmon. Thank you.